Raquel Cardasz: Good afternoon, everyone, and thank you for waiting. I'm Raquel Cardasz from IR, and we would like to welcome everyone to Pampa Energía's Fourth Quarter of 2025 Results Video Conference. We would like to inform you that this event is being recorded. [Operator Instructions] Before continuing, -- before continuing, please read the disclaimer on the second page of our presentation. Let me mention that forward-looking statements are based on Pampa Energía's management beliefs and assumptions and information currently available to the company. They involve risks, uncertainties and assumptions because they are related to future events that may or may not occur. Investors should understand that general economic and industry conditions and other operation factors could also affect the future results of Pampa Energía and could cause results to differ materially from those expressed in such forward-looking statements. Now I will turn the video conference over to Lida. Please go ahead.
Lida Wang: Hello, Raquel. Thank you very much. And hello, everyone. Good afternoon. Thank you for joining our call. I will make a really quick summary so we can spend more time on questions with the management today. Q&A, we have our CEO, Mr. Mariani; our CFO, Mr. Zuberbuhler; and our Head of Oil & Gas, Mr. Turri. So let's go ahead with the first slide where we make a quick summary of 2025. November 25, 2025, marked our 20th anniversary of Pampa and the creation of Pampa. Back in 2005, we did not produce any oil or gas or did not generate any single megawatt hour of generation, electricity. So 20 years later, Pampa accounts for 9% of the country's total natural gas production and reached a record daily production of 104,000 barrels of oil equivalent during the winter of 2025. This year also marked a steep change in our upstream profile. Our black flagship shale oil development at Rincón de Aranda began the year producing less than 1,000 barrels of oil per day and now reached a 20,000 barrel goal by December of last year. As a result, total annual average production exceeded 84,000 barrels of oil equivalent per day. This is 8% higher than last year and 73% up since 2017, the year after we acquired Petrobras Argentina, reflecting the sustained organic growth and disciplined capital allocation. In the Power segment, we consolidated a 15% share of Argentina's net electricity output, achieving an outstanding 94% thermal availability rate in 2025, reaffirming our position as the country's leading IPP and demonstrating a reliable, efficient fleet operating under a gradually normalizing market framework. At a consolidated level, EBITDA grew 8% year-on-year, surpassing the $1 billion mark, mostly driven by power, gas and Rincón de Aranda. While oil and gas and power each represent half of the EBITDA, we expect that ongoing growth at Rincón de Aranda will further expand Oil and Gas footprint in the EBITDA. So Pampa and its subsidiaries are deeply committed to the country's energy development. In 2025, we hit a new record high of $1.4 billion in CapEx, of which roughly half was testing to Rincón de Aranda, the largest single project development investment in our 20-year history. In 2026, we expect to set a new record high, allocating $770 million in Rincón de Aranda, very similar to last year to reach production plateau, plus another $400 million for maintenance across our operations and around $600 million for TGS'’ private initiative project. So moving on to the Q4 results. The quarter's adjusted EBITDA amounted to $230 million. This is a 26% year-on-year increase. Power generation was the main contributor, where, since November the new guidelines for the whole electricity market have allowed power producers to operate under a more decentralized scheme, improving price signals and enabling us to capture operational efficiencies and synergies with our E&P gas. Rincón de Aranda was the second key driver with this production ramping up -- ramp-up accounting for 23% of the quarter's EBITDA, supported by 10 active paths as of today. Our capital structure continues to strengthen following the issuance of our 12-year international bond. We closed the year with a net debt-to-EBITDA ratio of 1.1x and average debt life of almost 8 years. Quarter-on-quarter EBITDA decreased due to the gas seasonability -- seasonality, sorry, offset by Rincón de Aranda and steady contributions from our utilities, TGS and Transener. CapEx surged 81% year-on-year to $371 million in the quarter, of which $249 million were invested in the development of Rincón de Aranda. Okay. So moving on, on the Slide 6. The Oil and Gas segment adjusted EBITDA was $77 million in Q4, more than doubling last years, driven by Rincón de Aranda, increased gas exports and industrial demand. Higher transport and treatment costs partially offset these gains. Compared to Q3, EBITDA declined due to the gas seasonality, but was smoothed by Rincón de Aranda. Lifting costs averaged $8 per barrel of oil equivalent, slightly below last year due to higher crude oil output and stronger gas demand, offset by increasing gas treatment costs and the lease of temporary facilities at Rincón de Aranda. Quarter-on-quarter, lifting cost per boe increased due to this gas seasonality. Gas lifting costs remained flat year-on-year at $1.2 per million BTU, an average of $1 during the 2025, but rose quarter-on-quarter, again, because of the gas seasonality, while oil declined sharply to below $11 per barrel from $36 last year's Q4. This is because -- mainly because of Rincón de Aranda's ramp-up and the divestment of mature conventional blocks. Remind you all that last year, Q4, Rincón de Aranda was really a greenfield, produced only from one well. On top of that, we were recording trucking expenses, testing expenses, and we also held a lot of mature blocks that today are divested. Total production averaged more than 81,000 barrels of oil equivalent per day, up 32% year-on-year. This is led by Rincón de Aranda and Sierra Chata, partially offset by decreases at El Mangrullo and in nonoperated blocks as well as the divestment of El Tordillo. Quarter-on-quarter, production dropped 18%, again, explained by the gas seasonality. The production mix continues to evolve with oil rising to 22% of total output, driven entirely by Rincón de Aranda. Crude oil prices averaged nearly $61 per barrel in Q4. This is 10% lower than last year due to the weaker Brent prices. Without the hedging at Rincón de Aranda, our realized price will have been $53 per barrel. So focusing now exclusively on Rincón de Aranda, the ramp-up stays on track. In Q4, we reached the first goal of 20,000 barrels per day after tying two pads -- two new pads with an average quarterly production of 17,100 barrels per day. This is a 19% increase quarter-on-quarter. As of today, 10 pads are online, of which 3 of them are currently undergoing testing -- well testing. And -- plus we have another two pads, DUC pads and two other pads are under fracking. In 2025, Rincón de Aranda, contributed $126 million of EBITDA. Infrastructure build-outs, thanks to the RIGI incentive regime continues in parallel with the field development. Next month, we are installing an additional temporary processing facility with a focus on reaching 28,000 barrels by mid-2026, a key milestone toward the final production target of 45,000 barrels expected in 2027. So moving to Gas. Sales grew 10% year-on-year, but dropped 23% from Q3. This is, again, explained by seasonality. Mangrullo continued to lead the output, though its share shrank to 46%, while Sierra Chata grew to 38% share with production up 39% year-on-year, supported by a new pad that we tied in during the quarter. Together, they accounted for 84% of the total gas production. Gas prices averaged $3 per million BTU, flat year-on-year. Industry sales supported the pricing, offset by lower export prices due to the Brent underperformance and a drop in residential due to the lag tariff pass-through of the devaluation. In Q4 this year, 72% of our gas was sold under the Plan Gas GSA, CAMMESA and Retail, down from the 81% Q4 last year due to the transfer of certain rounds of the Plan Gas volumes to fuel self-procurement in power, which represented 4% of the total sales in Q4 '25. Now in December, we started to formally doing the self-procurement of gas in Genelba and Loma de la Lata. The self-procurement increased to 41% on average in January 2026. So as a result, Plan Gas GSA exposure shrank to 37%. With the new guidelines, in place, we expect 40% of this year's production to supply our own gas -- our own power generation, capturing margins and leveraging synergies between these two core businesses. Before moving from E&P, I want to just do a quick update on reserve. Total proven reserves rose 28% to 296 million boe, driven by our increased activity in Sierra Chata and specifically in Rincón de Aranda. Shale reserves grew by 55% year-on-year to 204 million barrels and with shale oil now accounting for 19% of total reserves. The reserve replacement ratio was 3.2x, extending the average life to 10.2 years. Since 2019, proven reserves have increased 118% with the most significant expansion coming from shale since 2023 when the year when we started to actively develop Vaca Muerta formation. Okay. So moving to power generations. We posted an EBITDA of $111 million in Q4, up 28% year-on-year, mainly driven by stronger spot prices under the new guidelines, especially -- partially offset by power dispatch at Genelba's new CCGT due to the program maintenance. Total availability declined to 91% due to the scheduled maintenance in Genelba and Loma de la Lata and the ongoing outage that we are experiencing in HINISA since January. However, Pampa's’ thermal availability continues to outpace the national grid under the new framework, also Energía Plus B2B contracts were discontinued, though we managed to recontract in the B2B market. So contract capacity remained stable year-on-year. With the new framework also performance balances between contracted capacity and the spot margin. So value creation also can be driven by efficiency and fuel management. Those units with high load factors and self-procure fuel will achieve higher margins. Turning to cash flow on Slide 11. We show the parent company figures because this is aligned with our bond perimeter. Despite the higher CapEx at Rincón de Aranda, we posted a limited $20 million free cash outflow in Q4, offset by strong EBITDA and working capital inflows mostly from winter collections. As a result, cash and cash equivalents stood at $1.1 billion at the quarter end. This is $210 million more than September close. Finally, on the balance sheet, gross debt was nearly $1.9 billion, down 9% since 2024 December. In November last year, we issued a $450 million international bond maturing in 2037 with a record 20-year tenure. This is the first long-dated issuance by an Argentine corporate over a decade and extending our average life to almost 8 years. The proceeds from this issuance and the 2034 notes that we issued in May were used to redeem all the outstanding international bonds, the '26, the '27, the '29 notes and some of the local dollar bonds. As a result, net debt reached to $801 million. This is 1.1 net leverage, maintaining a conservative capital structure while funding growth. Well, so this concludes the presentation. Thank you for hearing me. Now the floor is open for questions. [Operator Instructions]
Lida Wang: All right. So we start -- Alejandro Demichelis from Jefferies. How do you see the evolution of production? Please split between oil and gas and of drilling and completion and lifting costs in 2026? Production, drilling -- D&C, lilfting costs.
Horacio Jorge Tomas Turri: Okay. Good afternoon, and thank you, everybody, for joining. Regarding production, let's go first to oil. We are, as Lida mentioned, currently in around 19,000 barrels per day. Our target is to reach 25,000 barrels per day by the end of March, beginning of April and then keep on ramping up to 27,000, even 28,000 barrels per day as of the half of the year. All of this is coming out of Rincón de Aranda. In terms of natural gas, we just closed February around 14 million cubic meters per day. We will probably be reaching a peak of around 18 million cubic meters per day during the winter and an average of approximately 13.5 million cubic meters per day compared to 12.5 million cubic meters per day in 2025. In terms of drilling and completion, in Rincón de Aranda, we drilled 20 wells. We're going to be drilling 20 wells and completing 35. And in Sierra Chata, we will be drilling and completing 8 wells each. And I'm missing lifting costs, which are in the range of -- will be in the range of $10 per barrel.
Lida Wang: Yes, until we get...
Horacio Jorge Tomas Turri: Until we get the CPF. We are talking about 2026 and a little bit less than $1 per million BTU in our gas operations.
Lida Wang: Great. So let's go to the next question. Next question comes from [ Guido Visocero from Nalaria ] about the hedging. How are the royalties settled? Are they include in the hedge? Or is that independent and settled at the market?
Horacio Jorge Tomas Turri: No, royalties do not have any connection to the hedging. They are set at the market price.
Lida Wang: All right. Next question, Alejandro Christensen from Latin Securities. How much impact have you seen so far from Resolution 425-25? And how much additional impact do you expect in 2026? Could you provide some color on the EBITDA growth outlook for this segment next year? Next year, I guess, '27, right?
Gustavo Mariani: This year. Good afternoon, everybody. Thank you for joining. The impact of the resolution so far, it's -- I think what we have been saying in previous calls is between 10% and 15% vis-a-vis the EBITDA generation that we had in 2025. More or less. And that is what we expect for the segment as a whole when you compare 2026 vis-a-vis the previous year.
Lida Wang: I guess 2027 is too early to say, right?
Gustavo Mariani: Say it again.
Lida Wang: 2027, it's too early to say.
Gustavo Mariani: Too soon to say. Yes. What this resolution brings is also an improvement in our E&P business, and that is thanks to the fact that now we are self-procured. We are selling the gas and our thermal power use is provided by our E&P segment. So that also brings -- and again, we are expecting here, but it's so far what we have seen in January and February, a 10% increase in quantity in the natural gas produced by the segment, and that is thanks to the fact that we are self-procuring in our thermal plants.
Lida Wang: We're kind of not putting much number of that profit, right? So we are -- the number you said is only for power generation, but the fact that we are self procuring this vertical integration, we are not putting a number so far ,an effect, right? An impact.
Gustavo Mariani: Yes, that's correct. So that's -- in our projections, we expect on the power generation segment around 10% to 15% increase in EBITDA and another increase coming from the fact that the total gas produced by the E&P segment will also go up by around 10%.
Lida Wang: That's right. All right. Next question coming from Alejandro. Alejandro as well he says, have you signed any PPAs with private counterparties for energy or capacity?
Gustavo Mariani: Yes, we have been very active since November that this new resolution is -- our commercial team has been extremely active. If I remember correctly, I think that we have sold like 70 -- now you can sell energy and capacity. We've been active in both. Signed more than 100-something contract for a total of around 70 megawatts. So yes, we have been very active there.
Lida Wang: All right. And then how are you seeing natural gas demand and pricing in the industrial sector, industrial evolving during Q1 '26?
Horacio Jorge Tomas Turri: We see the industrial demand is stable. It accounts for less than around 10% of our overall production. And given the changes in the self-procurement it's not a segment that we are very familiar, we are not that interested. So it would have an effect in Pampa Energía.
Lida Wang: All right. Next question coming also from Alejandro. What percentage of oil production remains unhedged throughout 2027?
Gustavo Mariani: Throughout 2027 means until or until the end of 2027?
Lida Wang: Probably it means until 2027 in English, right? But I don't know.
Gustavo Mariani: So we are fully -- basically, we are fully hedged 1 year going forward. So until first quarter of next year, we are fully hedged.
Lida Wang: All right. Next question coming from Bull Market, Felipe Collazo. Following the deregulation, has Pampa been able to start acquiring gas from its own wells? I think it's all self answer. Can you give a guidance of what the savings in fuel costs will amount during 2026? Savings in fuel costs? I don't see savings.
Horacio Jorge Tomas Turri: We're making profit out of it.
Lida Wang: We are vertically integrated.
Horacio Jorge Tomas Turri: Exactly.
Lida Wang: Yes. So we are producing more than before, right?
Horacio Jorge Tomas Turri: That's right.
Lida Wang: So January, we produced.
Horacio Jorge Tomas Turri: We are particularly producing more during 2026 in the winter time.
Lida Wang: Yes, it will be more like...
Horacio Jorge Tomas Turri: We will have a flat curve.
Lida Wang: But Q1 is already higher than Q1...
Horacio Jorge Tomas Turri: We already said that February ended up with almost 14 million cubic meters per day.
Lida Wang: Well, yes, last year first quarter, it was a little bit different because Q4, it was very bad, and they took -- CAMMESA took more gas. But even that, the production...
Horacio Jorge Tomas Turri: Just taking into account that the overall average of '25 was 12.5 million cubic meter, and we're saying that only February is around 14 million cubic meters per day. So we will definitely be -- our estimation is that we will be producing around 13.5 million to 14 million in 2026.
Lida Wang: How long do you expect the RIGI approval to take for the Rincón de Aranda treatment plant. We used to think that application has been filed by mid-2025 when it was first announced. But some news articles from about a month ago suggest it was just done last January. Could you clarify that?
Gustavo Mariani: Yes. I don't recall when we filed the RIGI for upstream, but it was definitely third -- fourth quarter -- of last year. We haven't been approved yet. But recently, they have -- there was a new decree adding upstream of oil to the RIGI. So we are starting to file for an additional -- yes, an overall RIGI for the full development of Rincón de Aranda.
Lida Wang: All right. Do you plan to fund the CapEx by via new debt issuance?
Adolfo Zuberbuhler: Hi everyone. The base case scenario, the answer is no. The idea is we have a big cash position that we have been acquiring with our free cash flow and last year debt issuance. So the base case is that we use part of that cash to complete our CapEx investment of this year. That being said, if we decide to embark in new projects or any other new investments, we'll have to revalue that decision, and that base scenario. And of course, there is always-- I am very opportunistic. So if spreads keep tightening, that is something that we will look. But the base case scenario is that we will face the capital investments with our cash position.
Lida Wang: Next question comes from Juan Ignacio Lopez from Puente. I think we haven't answered this yet. But what's the guidance about CapEx for 2026, Oil and gas and Power?
Gustavo Mariani: Around total CapEx?
Lida Wang: Sorry. Before that, we don't give guidance. But I will give you -- we will share with you what our Board approved by the budget -- for the budget, right?
Gustavo Mariani: As Lida says, the restricted group only. So it's basically it's around $1.1 billion, basically $1 billion, the E&P segment and it's less than $100 million on power generation because it's only maintenance CapEx. So we don't have any project -- any new project going on, on that -- on the Power Generation segment. That answers?
Lida Wang: And oil?
Gustavo Mariani: Oil almost around...
Horacio Jorge Tomas Turri: $1 billion.
Lida Wang: Awesome. So next question, he says specifically, how much of that is maintenance and how much is scheduled for thermal plants this year? It's pretty much...
Gustavo Mariani: Yes, it's around $80 million, and it's all -- maintenance CapEx, yes.
Lida Wang: And second, guidance regarding free cash flow. Which, again, we don't do guidance, but we can share with you what it's approved by the budget. And what crude realized price are you assuming for your base case scenario?
Adolfo Zuberbuhler: So we expect total CapEx, including maintenance CapEx, investment CapEx and the equity that we will deploy to our joint ventures. All that will imply more or less $500 million negative cash flow after all investments. So that is what will bring the cash position from $1.2 billion to $700 million roughly.
Lida Wang: All right. What else? And the price of oil. The price of oil assumed for the budget. I think it was less than $58.
Gustavo Mariani: Well, that's the one assuming the budget. But I think what is relevant here is the hedge price that is around $66.
Lida Wang: Yes, that's correct. A little bit above $66, right? So the hedge is Brent, right? And then after discounts and export duty, which is 8%, it is roughly a little bit lower than -- roughly a little bit above $58 depending on the discount.
Horacio Jorge Tomas Turri: Wellhead, you mean?
Lida Wang: Wellhead and it's realized FOB. The wellhead, you have to account the transport -- okay. Next question. Cattaruzzi Matías from Adcap. How should we think the quarterly production ramp-up through 2026, particularly toward the -- around 24,000 barrels per day level by second quarter of '26 and around 28,000 by third quarter.
Horacio Jorge Tomas Turri: We've been through that. That's exactly he's answering the question.
Lida Wang: But then after -- so the [ 828 well ] in the chart, we put like it's like 20 and then sharply goes up to the plateau?
Horacio Jorge Tomas Turri: No. It's not going to happen.
Lida Wang: What do you think...
Horacio Jorge Tomas Turri: It's not financially efficient. So it's going to be -- probably going to be a ramp-up curve going from 28,000 to 45,000 in around 5 to 6 months.
Lida Wang: Okay. Matías is asking -- given that Pampa has more gas reserves that it can currently monetize, would you consider monetizing part of our -- of your gas acreage portfolio for farm out or farm downs or asset sales?
Gustavo Mariani: We could consider it, but we are not actively seeking to do so.
Lida Wang: Could you update us -- another from Matias. Could you update us on Southern Energy FLNG project, specifically timing, expected volumes and potential EBITDA CapEx contribution from Pampa and what the LNG FOB price assumption, it's basically the Coca-Cola, everything.
Horacio Jorge Tomas Turri: In terms of timing, we are expecting the first boat by second half of 2027 and the second one by the second half of 2028 for a total demand of 6 million tons per year. That's around -- roughly around 25 million to 26 million cubic meters per day. We have 20% out of that. And the biggest capital or the biggest CapEx involved in the project now is the construction of the dedicated gas pipeline from Cartagena to San Antonio state, which will account for probably around $1.5 billion.
Gustavo Mariani: Hopefully less than that.
Horacio Jorge Tomas Turri: Hopefully less than that, from $1.3 billion to $1.5 billion. And out of which we could consider that 60% will be financed and maybe 30% to 40% is going to be equity. And out of that, we have 20%. So that's a major CapEx that we'll be facing.
Lida Wang: Francisco Cascarón from DON Cap, he is asking what new opportunities do you foresee in the generation segment, if any? Do you expect...
Horacio Jorge Tomas Turri: I'm sorry, just to add something that's relevant. We signed our first long-term contract with CFA, the German agency for 2 million tons per year.
Lida Wang: It's binding? This is binding?
Horacio Jorge Tomas Turri: It's already binding. Yes more than binding.
Lida Wang: Great awesome. For sale?
Gustavo Mariani: Binding for both.
Lida Wang: Great. All right. Shifting to power generation. Francisco Cascarón from DON Cap, is asking, do you foresee any opportunities there? Do you expect to increase installed capacity this year or in the near term?
Gustavo Mariani: Increase this year impossible because these projects take several years to be installed. What could be done in the short term could be something like batteries. And today [ Tamesa ] our Secretary of Energy announced a new auctions of batteries similar to the one that was done last year. The one done last year was within the Buenos Aires area, and this one is all around the country, but has been published today. Honestly, I didn't have time to take a look at it. Usually, these are small projects, very competitive. We have colleagues very aggressive on pricing. So not sure whether we are going to be actively in this auction.
Lida Wang: That's it. Okay. So [ Houting Pacheco from, Maria ] he's asking, given the improvement in power prices under the new wholesale electricity market framework, are you now seeing higher returns in power generation relative to shale oil? What a question?
Gustavo Mariani: Relative to shale oil. We are seeing higher returns on the power generation vis-a-vis previous year relative to shale oil. The power generation margins have improved. I still think that shale oil provides a higher expected returns than power generation.
Lida Wang: There are two animal right?
Gustavo Mariani: Yes, two different animal, exactly different risk -- exactly. But despite these changes, we are very comfortable with the development that we are doing in Rincón de Aranda and adding the oil segment to pump. That is where the question is...
Lida Wang: Talk about, yes. Well, with the recent extension of the, RIGI, are you thinking to apply? I think we answered that.
Gustavo Mariani: Yes. We are starting to apply for the upstream part of Rincón de Aranda.
Lida Wang: He is asking -- I think it's too early to answer, but expected impact on project economics and timing. So we can give him a quick summary of the relief, if I may. So it's basically after the third year, you get export duties abolished removed, right, the third year. The tax rate goes down from 35% to 25%, accelerated depreciation, so the imposable amount, it's smaller as well. So that helps through the first years of the operation. BAT can be -- BAT credit can be monetized. What else, if I can remember -- pretty much that, right? But it's a 30-year time that they give you, right, the RIGI. And then, of course, free disposal of all the proceeds abroad. If you export, you can keep it. I think that's the key takeaways from RIGI.
Gustavo Mariani: Totally.
Lida Wang: That's not AI. We produce that. I have to think about it. So he said, well, congratulations from [indiscernible] He's asking the RIGI upstream, how broadens the scope of the Rincón de Aranda project and how could accelerate the development?
Gustavo Mariani: He is asking...
Lida Wang: The whole impact.
Horacio Jorge Tomas Turri: Okay. The RIGI-- the possibility of the RIGI is going to give a significant, let's say, help to develop the northern part of Rincón de Aranda, which will have an impact both in the ramp-up curve and also in the total amount of oil to be recovered from the area. So we think that this is a major change in the overall economics of the project.
Lida Wang: He's asking, should we expect any updated production guidance and timing, meaning adding RIGI or drilling capacity or having more capacity contracted?
Horacio Jorge Tomas Turri: It will probably happen. It's not going to change the short-term curve, but it's going to have an impact in the medium term, something we're still analyzing and obviously, it's contingent to the RIGI application.
Lida Wang: All right. Someone I don't know, like its name, it's Armando, which is very weired. He's asking a question that we will usually answer. Do the company is planning distribute any dividends in the near future?
Gustavo Mariani: No. We're not planning to distribute dividends in the near future. As Fito explained, we have a negative free cash flow this year, and we expect still too early to say, but something that even or slightly positive in 2027. But we still see a lot of opportunities to continue growing. So because of this situation, we are not planning dividends in 2026.
Lida Wang: From [indiscernible] asking he wants to double click on the CapEx estimates. For Rincón de Aranda $770 million budget for this year, how much is wells versus infrastructure?
Horacio Jorge Tomas Turri: Yes, it's approximately $500 million in wells and the difference will be facilities.
Lida Wang: How much in maintenance for generation is $80 million that we said. TGS, what we said is considering Perito Moreno expansion and maintenance, yes, it's $600 million of expansion of the Perito Moreno.
Gustavo Mariani: This year. Okay.
Lida Wang: No, no, no. Total, it's over $700 million.
Gustavo Mariani: Okay. But we haven't talked about TGS CapEx.
Lida Wang: Very briefly in the evolving chart-- evolution chart. Maintenance on TGS, like $90 million per year, more or less, total, right, the trunk -- the regulated trunk, the liquids and what is left for midstream. That's $90 million per year. What should we expect for next year? Well, for Rincón de Aranda, when we reach plateau, it's just maintenance.
Horacio Jorge Tomas Turri: Yes. So I mean it's just drilling and completing for the -- to fill up the decline.
Lida Wang: Gas, we are already.
Horacio Jorge Tomas Turri: Gas, we already reached our peak, our plateau.
Lida Wang: But when we have CISA, we will...
Horacio Jorge Tomas Turri: When we have CISA, we need to decide whether we're going to be supplying all of the demand above CISA or we will be replacing some of our demand with CISA, something that we need to.
Lida Wang: In power generation, we don't have any projects in the pipeline. So that's it. Next question from Ignacio. It's, what are the conditions of the B2B PPAs that you signed? Which is very, very broad, like we have some in HINISA, some in...
Gustavo Mariani: Yes. Just to give you example -- information. But I think the volume is around 70 megawatts prices for energy in the mid-50s.
Lida Wang: Yes, we are doing summer winter. We are doing peak, off peak.
Gustavo Mariani: They are 1-year contracts.
Lida Wang: Yes, 1-year contracts. We have first year -- mostly of that 70 megawatts is first year, which is mainly -- it's mandatory, but we have some second tier. That's it.
Gustavo Mariani: Yes. In terms of capacity what the regulation has in order to incentivize the contractualization is that industries pay a higher capacity charge than what we collect. So that incentivize contractualization because we sell our capacity a little bit better than what we sell to CAMMESA and industries get a reduced price from what CAMMESA charge to them.
Lida Wang: Yes. Well, Andresi Miliano from Balance. The liberalization of the power market contemplates procure energy by distributors. When do you consider this will be fully implemented? And how do you expect to impact your power segment? I guess the B2C conference is what he's asking, that we haven't done any...
Gustavo Mariani: No, we haven't done any yet. Probably some of our colleagues, especially the hydro -- the recently -- the hydro units have that, but have not -- that is not yet a public information. So that is a market that we need to see how it will evolve. I don't have any clarity right now.
Lida Wang: Another question comes from Andres Cardona from Citi. Regarding power generation, we already answered. The second question, is there any short to midterm M&A opportunity? Is there more likely to be for upstream or for power generation?
Gustavo Mariani: There's nothing in the short term. So there's nothing in the pipeline. That is the question that we are studying neither in E&P or power generation. Harder to see how that is going to evolve going forward, but we are not actively engaged in any M&A opportunity.
Lida Wang: This question was answered in previous calls, but well, there is always a new audience. Do you have any information about Rincón de Aranda. Specifically in the type curve, like, for example, with estimated URs, IP30, D&C cost per barrel?
Horacio Jorge Tomas Turri: We don't give any guidance...
Lida Wang: Very good. I don't know, it's like around 1.5 million.
Horacio Jorge Tomas Turri: Okay. It's probably around 1.1 million barrels of EUR. And in terms of cost, we should be hitting $15 million per well approximately.
Lida Wang: Well it's fully considered the whole thing.
Horacio Jorge Tomas Turri: All of it, all of it. All the way to the collecting pipeline.
Lida Wang: Correct. Which sometimes is different from the measure from other players.
Horacio Jorge Tomas Turri: Yes, of course, of course.
Lida Wang: Another question from someone I don't know is called [indiscernible] . How is Pampa involved in [indiscernible]?
Gustavo Mariani: No, we are not involved.
Lida Wang: Can you give us from, [ Santiago -- Valeria ] can you give us some color from the next maintenances in power plants program in the power plants? Usually, we do it when it's offpeak, right?
Gustavo Mariani: No. Obviously, we do it either in autumn or in fall. I think there are plan -- and this year, I don't have anything in my mind for this fall, probably during -- sorry, Spring or fall. But I don't recall at this moment which plant has significant maintenance. Most probably will be Genelba and Loma de la Lata, those are the two2 relevant ones.
Lida Wang: The legacy, right, the legacies. All right. Is there any change in 2026 CapEx considering the oil prices? This is a recent price of appreciation? No, nothing at all. Guido Visocero, his boss, he's asking urea project. Is there any further information to share about this project?
Gustavo Mariani: No, not at this point, not at this point. We're still working a lot. But as it usually happens, there are delays. So it will take at least another semester to have more information about this project.
Lida Wang: Gustavo Faria from Bank of America. He's asking a little bit different from the hedge, but he said how does the Pampa's oil prices hedge works in this new environment of high oil prices?
Gustavo Mariani: I would say that last year, we realized like in average, $7 profit from...
Lida Wang: Per barrel, right?
Gustavo Mariani: $7 per barrel profit from our hedge strategy. This year and since today, we are probably losing $4 or $5 per barrel in our hedge strategy. But we will see how prices evolve throughout the remaining of the year.
Lida Wang: Gustavo is also asking, are you open for new investments outside power and gas -- oil and gas? Within Pampa structure?
Gustavo Mariani: As long as within the scope of energy of Pampa, we are open to anything. We are not studying apart from the urea project, we are not studying or not planning any different investment.
Lida Wang: Okay. So Jonathan Swart from [indiscernible] is asking, why did you retire production from Plan Gas Round 1 and Round 3?
Horacio Jorge Tomas Turri: Reallocated to our power generation.
Lida Wang: To vertically integrate.
Horacio Jorge Tomas Turri: To vertically integrate.
Lida Wang: We still have some from the last round, the 4.2, right?
Horacio Jorge Tomas Turri: Yes, we still have that...
Lida Wang: Which...
Horacio Jorge Tomas Turri: We're still negotiating eventually the handing over of that gas back to Pampa to be able to, say again, decide what to do with that gas rather than sell it to NASA.
Lida Wang: Well, he's asking also, could you explain about the $55 million positive impairment, so recovery of impairment in generation? Yes. So Central Piedra Buena, our 620 megawatts in Bahía Blanca, it's a 2 steam turbine that load factor is very low. This -- last year was high because it was a dry year, but usually it's low. So under the legacy scenario under the old regulated remuneration, they have an impairment. Now that we have this new scheme that also recognizes a big -- like a big -- it's a 30% boost in the capacity because Central Piedra Buena can also operate under alternative fuels. This is way better than anybody can pay. Just because of that flexibility, it's cash in more money and cash in more cash flow. That's why we reversed that impairment. I hope that was clear. Okay. Next, news on the fertilizer plant. Does the sale of Profertil to Adecoagro affects your decision?
Gustavo Mariani: No, it does not.
Lida Wang: Okay. The one-off offtake agreement mentioned by CISA, the German's price maturity?
Horacio Jorge Tomas Turri: Okay. It's an 8-year contract until 2036. And the pricing has to do with a formula that takes into account ETF and Brent -- I'm sorry, Henry Hub and Brent.
Gustavo Mariani: 50-50.
Horacio Jorge Tomas Turri: 50-50.
Lida Wang: With certain percentages of discount. I think we did it all, and it's 7:26 I can't believe it. So I will check -- she's pulling for questions. But we are doing this because we have agenda constraints. All the people that asked why the stock was halted in nicely because Argentina closed and we were not allowed to file after 6:00 p.m. Argentina, and that's 4:00 p.m. in New York, and we are not allowed. So it's trading hours in New York. That's why we were halted. No speculations here because people ask me a lot of things. No questions? No more questions. So, Gus, Horacio and Fito would you like to add something else that we didn't talk about?
Gustavo Mariani: No. We covered it off. Thank you all for joining. I hope it was useful.
Lida Wang: All right. Thank you very much. See you next May. Bye.